Operator: Good day and thank you for standing by. Welcome to the Fourth Quarter 2023 Spectrum Brands Holdings, Inc. Earnings conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Faisal Qadir. Please go ahead.
Faisal Qadir: Welcome to Spectrum Brands Holdings Q4 and full-year 2023 earnings conference call and Webcast. I'm Faisal Qadir, Vice President of Strategic Finance and Enterprise Reporting, and I will moderate today's call. To help you follow our comments, we have placed a slide presentation on the events calendar page in the investor relations section of our website at www.spectrumbrands.com. This document will remain there following our call. Starting with slide two of the presentation, our call will be led by David Maura, our Chairman and Chief Executive Officer, and Jeremy Smeltser, our Chief Financial Officer. After opening remarks, we will conduct the Q&A. Turning to slide three and four, our comments today include forward-looking statements, which are based upon management's current expectations, projections, and assumptions, and are by nature uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and cautionary statements outlined in our press release dated November 17, 2023, in our most recent SEC filings and Spectrum Brands Holdings most recent annual report on Form 10-K and quarterly reports on Form 10-Q. We assume no obligation to update any forward-looking statements. Also, please note, we will discuss certain non-GAAP financial measures in this call. Reconciliation on a GAAP basis for these measures are included in today's press release and 8-K filing, which are both available on our website in the Investor Relations section. Finally, we encourage you to listen to our remarks today alongside with reading Spectrum Brand's press release and 8-K issued today and our annual reports on Form 10-K once it is filed with the SEC. Now I'll turn the call over to David.
David Maura: Hey, thank you, Faisal. Good morning everybody and thank you guys for joining us today. As we wrap up a very challenging and rewarding year for our company, I'd like to start this call by expressing my gratitude to every member of our global team for helping navigate our business through some very difficult times in fiscal ‘23. I would also like to thank our investor base for their confidence and trust over the past two years as we battled through and overcame operational and M&A regulatory challenges. Moving to slide six, we started fiscal ‘23 with a challenging macroeconomic environment, with consumer demand declining from the heights of the pandemic and our retail customers inventory strategies driving significant demand volatility. Our margin structure was still under pressure from the inflation hangover in our inventory that was acquired in fiscal ‘22. And our leverage ratio was very high with declining EBITDA and high working capital commitments at the same time. We were facing very -- and we were also facing the legal challenge of the DOJ that was trying to borrow the sale of our HHI business. In the face of these challenges, our company has not just significantly -- not just successfully navigated these obstacles, or now also beginning to turn a corner we've successfully defended against the legal challenge and we close the HHI deal for $4.3 billion in cash with the close of this transaction we have now become a net debt-free company as we ended the year with $1.9 billion of cash and short-term investments against a total debt position of $1.6 billion. On the working capital side, we've made great progress and we reduced our inventory by over $300 million, since the beginning of the fiscal year, while also importantly improving our fill rates across all businesses. We have also been now unwinding any early pay and factoring programs across North America, which used approximately $250 million of our cash during the year. We have now completed the exit of all early pay and factoring programs in North America with the remaining cash flow impact from those exits extending into the first quarter of this fiscal year -- fiscal ‘24. We have also improved the margin structure of our businesses and have started to invest back in our brands. Our most recent quarter marks the beginning of a strategic pivot from defending against the various headwinds that were presented to us in fiscal ‘23 to now leaning into the opportunities that our strong balance sheet and improving margins present for us as we enter fiscal ‘24. Our retail partners are enthusiastic about the partnership potential in the future, and the team is energized to embrace this new reality. We have recently hosted fireside chats, sales and marketing meetings, and product relaunches around the globe to re-energize our teams and to play more aggressively ahead of what we perceive to be deteriorating global macroeconomic conditions. With that context, I'll have you now turn your attention to slide number seven for a quick overview of fiscal ‘23's results. As I mentioned earlier, this was a challenging year for the business. We faced a variety of headwinds. The difficult consumer environment and retailers' focus on excess inventory reduction impacted our results across the board. And our net sales declined by 6.8%, compared to fiscal ‘22. We continue to experience these pressures in the fourth quarter, but the pace of the sales decline has slowed down considerably, with fourth quarter net sales decreasing by just 1.2%. Fortunately, we were proactive with our countermeasures earlier in the fiscal year, and we initiated further cost savings following some cost out actions during the second-half of fiscal ‘22, including fixed cost reduction through the elimination of permanently salaried headcount, as well as a reduction in our advertising and promotional spend. All these actions were mitigating some of the EBITDA decline from the various economic headwinds. With the HHI transaction now closed and our balance sheet strengthened, we have started to invest back in our businesses during the fourth quarter, and we expect to continue this investment throughout fiscal ‘24. Our fourth quarter saw increases in our OpEx driven by renewed advertising and promotional spend. Jeremy will cover the fourth quarter results including business unit performance in more detail in his section. Moving now to slide eight. The actions we've taken in fiscal ‘23 have put us in a great position for this fiscal year. We are now operating from a position of strength with a strong balance sheet, healthier margins, and a much better inventory profile. During our fourth quarter, we have started the pivot of our business from managing this company for cash to now focusing on driving long-term growth of all of our business units, driving operational efficiencies at the very same time. Our plan for fiscal ‘24 will build on this strategic shift and focus on three key elements. One, we're investing behind our people to improve our commercial capabilities and drive a culture of accountability. Two, we're investing behind our brands and our new product roadmaps as we continue to focus on bringing fewer, but bigger and better innovations to the market. Three, we're investing in our operations to drive efficiency and to reduce cost. Starting with the first element, we recently made a number of key hire in senior sales roles and marketing positions across the company as we are leaning into investing in our people and upgrading our talent. We are making a conscious effort to materially bolster our commercial operations, innovation, sales and marketing capabilities. We are being intentional post the sale of HHI to invest in our culture and our people with the goal of shifting the mindset of our organization from one of defense to one of offense. Coming to our second key area of focus, we are investing behind our brands and products. We have materially increased our advertising and marketing spend in the fourth quarter, and we're going to continue to invest behind our brands and new innovations going forward. This includes expanding into adjacent categories, as was recently demonstrated with our patented Meowee! and Good N Tasty Cat Treats launched during fiscal ‘23. Expanding new innovations across several products as we have done with our Spectracide one-shot platform and getting behind new products in a big way, as we've just done with our first ever global Remington launch earlier this week in New York City with our innovative Remington 1 range of products. Third, we're investing in our operations. We want to drive efficiencies and reduce costs. These investments will come in the form of new equipment, better tools, and improved capabilities with a focus on speed and automation. That will allow us to drive manufacturing and supply chain efficiencies. The goal is simple, to lower our costs so we can continue to remain competitive in the marketplace of today. Moving to slide nine in our high-level fiscal ‘24 earnings framework. We expect continued suppressed demand in our home and personal care appliance segment, particularly within kitchen appliances. With the outlook for home appliances and our decision to rationalize our product portfolio, we expect the top line to decline low-single-digits. From an operating EBITDA perspective, however, we are targeting growth in the high-single-digits, driven primarily from lower cost inventory, as compared to fiscal ‘23, offset by increased investments in our brands, as I described earlier, as well as increased investments in our people to help us build a stronger, faster, higher growth company. We expect the cost environment to continue to ease mainly from lower ocean freight costs, but these are offset somewhat by other inflation inputs, including labor, material, and FX. We also expect some pricing pressure in the home and personal care space as the competition for shelf space there is going to remain fierce. As we set the earnings framework for fiscal ‘24, we are keenly aware of our need to regain investor confidence and to deliver on our commitments. We believe the fiscal ‘24 earnings framework provides for challenging, but achievable financial goals as we head into a time of greater economic uncertainty. Now you'll hear more from Jeremy on the financials and the business units updates, and I'll be back for closing remarks. Over to you, Jeremy.
Jeremy Smeltser: Thanks, David. Good morning, everyone. Let's turn to slide 11 and look at our Q4 results, beginning with net sales. Net sales decreased 1.2%, excluding the impact of $11.3 million of favorable foreign exchange. Organic net sales declined 2.7%. Organic net sales were lower primarily due to lower consumer demand for the kitchen appliances category and the impact of our decision to exit several non-strategic categories and SKUs in our global pet care business. Gross profit increased $4.9 million and gross margins of 33% increased 100 basis points, driven by favorable pricing, compared to last year and the favorable impact of cost improvement actions, partially offset by unfavorable transaction effects. Excuse me, SG&A expense of $222 million was flat at 30% of net sales driven by increased marketing and advertising investment in the business offset by reduction in distribution costs related to prior year disruptions. Operating income was essentially flat at $16.2 million. Our GAAP net income and diluted earnings per share increased due to interest income, lower interest costs, income tax benefit, and the lower share count. Adjusted diluted EPS increased 183%, due to the higher adjusted EBITDA, lower interest expense, and the lower share count. Adjusted EBITDA increased 52% driven by gross profit improvements and interest income. Turning to slide 12, Q4 interest expense of $23 million decreased nearly $4 million. Cash taxes during the quarter of $3.9 million were $3.4 million lower than last year. Depreciation and amortization of $23.6 million was $900,000 higher than last year. And separately, share-based compensation increased by $6 million. Cash payments towards restructuring, optimization, and strategic transaction costs were $18.4 million, down from $40.3 million last year. Moving to the balance sheet, the company had a cash balance of $754 million, plus $1.1 billion of short-term investments, and approximately $587 million available on our $600 million cash flow revolver. Debt outstanding was approximately $1.6 billion, consisting of approximately $1.5 billion of senior unsecured notes and $86 million of finance leases and other obligations. Additionally, as mentioned earlier, we once again ended the quarter in a net positive cash position. In October, we refinanced our revolver, reducing the total facility to $500 million to reflect the smaller size of our company after the HHI sale, and we extended the maturity to 2028. Capital expenditures were $14.7 million in the quarter versus $18.7 million last year. Let's turn now to slide 13 for an overview of our full-year results. Net sales decreased 6.8%, excluding the impact of $51 million of unfavorable foreign exchange and acquisition sales of $89.9 million, organic net sales decreased 8.1%. The sales performance was driven by the retailer's focus on aggressive reduction in inventory, leading to lower replenishment orders for our Home & Garden business, while home and personal care was impacted by continued post-pandemic category demand softness in kitchen appliances, as well as continued inventory reduction actions by our retailers. The global pet care business sales were only slightly lower, despite category declines in aquatics and our decision to exit certain unproductive SKUs. As companion animals showed resilience and posted another year of growth. Full-year of gross profit decreased by $66 million, and gross margins of 31.7% increased 10 basis points, while the second-half of the year gross margin of 34.4% increased by 150 basis points, compared to last year as we continue to improve our margin structure across all businesses. Adjusted EBITDA increased 7%, despite the sales decline, primarily driven by interest income, gross margin improvement and a reduction in operating expenses. Now let's get into the review of each business unit to provide detail on the underlying performance drivers of our operational results. As you turn to slide 14, we'll look at global pet care. Reported net sales increased 1.6%, while organic net sales decreased 0.7%. Higher sales in our core companion animal categories were offset by the impact of portfolio rationalization as we exit from non-strategic categories, as well as softness in aquatics. Companion animal sales, particularly consumables, continue to show growth as favorable pricing more than offset unit declines due to slowing category demand. The aquatics category sales remain challenged, compared to last year as consumer demand continues to reset from pandemic highs. However, the aquatics category grew sequentially, compared to the third quarter, providing some positive momentum. Sales in the EMEA region grew, despite continued pressure on consumers from inflation and has reduced from recent months, but is still above historic trends. Growth in EMEA came from our companion animal category, driven by double-digit growth in the dog and cat food business. From an innovation perspective, our new patented Meowee and Good N Tasty Cat Treats are performing well. We launched these products during the fourth quarter, first on chewy.com and then expanded to Amazon, with more new distribution coming this quarter. Our Savory Spoonables are truly unique in the market and have already garnered strong consumer reviews and subscription uptake. In the aquatic space, we launched our Tetra STEM kit in the U.S. More than 65% of adults with aquariums had an aquarium as a child, so the STEM kits are a perfect way to capitalize on the educational segment to engage young consumers by bringing them into the category, helping them succeed and hopefully become lifelong aquatics enthusiasts. We plan to introduce additional STEM products in the coming months. Adjusted EBITDA increased 10.5% to $53.5 million, driven primarily by the impact of net positive price, including the incremental pricing actions in the EMEA region earlier in the year. Q4 EBITDA also benefited from favorable mix due to the exit of low margin SKUs and our continued focus on cost reduction measures, including the fixed cost restructuring from the first-half of the year. This was partially offset by advertising investments in the business, focused on driving short and long-term volume growth. We feel great about the margin profile of business and believe that the business is in a strong position, as evidenced by the adjusted EBITDA of over $50 million for a second consecutive quarter. However, we are preparing for low sales and EBITDA growth in the short run as we have the continued impact of our SKU rationalization efforts in the first-half of 2024, and as we continue to improve our overall inventory health and sell off aging and other discontinued inventory at a discount. Although we are closely monitoring consumer behavior and trends, particularly as it relates to discretionary spending patterns within the pet space, we remain confident about our position in the market with improved margin structure and the strength of our brands. We are shifting our focus to strategically investing more in advertising and trade promotion to engage consumers, drive consumption and top-line growth, and increase our share. Overall, we expect the positive trends in companion animal consumables categories to continue, albeit at a slower growth rate, and remain cautious about certain categories within the pet specialty channels, such as aquatic environments, as the rates of new entrance settle to at or even below pre-pandemic levels. With the continued slow aquatics recovery and additional carryover impact of the exit of unproductive SKUs and categories, we expect fiscal ‘24 to be at a lower top line growth than our long-term target for global pet care. Now we'll take a look at Home & Garden which is on slide 15. Fourth quarter reported net sales increased 7.2%, driven by investment in advertising and marketing along with favorable weather conditions. POS for both controls and household repellent categories showed growth versus last year, while the personal repellent category POS declined during the quarter. Controls outpaced the category as Spectracide experienced double-digit POS growth and continued to gain share. Our Hot Shot brand also posted double-digit POS growth during the quarter. We increased our advertising investment and utilized highly targeted conversion tactics to help drive POS. Some of the increased advertising and promotional spend was focused on Spectracide. Floor care and restoration POS remained below last year and below our expectations as demand for cleaning products continues to decline post-COVID. We did see improvement sequentially as we increased investment in the category. We will leverage the positive momentum in our brands as we see consumers continue to recognize the efficacy and strong value of our products. We expect to continue to invest behind the rejuvenate brand to drive consumer engagement, higher POS, and eventually expanded listings. As we mentioned earlier, the shift in retailer strategy to maintain significantly lower inventory levels, compared to 2022 continued to play out in our results. We believe that the impact of retailer inventory reduction is largely behind us and we expect retailer orders to be much more in line with POS during fiscal ‘24. We are continuing with the commercialization of our recent innovations and plan to significantly increase our investment behind promoting our innovations and our core brands. In controls, this investment will support our base products as well as strong innovation in Spectracide. In repellents, our new zone, mosquito repellent devices, Cutter Eclipse and Repel Realm continue to gain traction with consumers. We expect to significantly expand distribution and make it available across multiple channels in 2024. Adjusted EBITDA increased 60% in the quarter to $21 million. EBITDA increase was driven by higher volume and related fixed cost absorption impacts, positive pricing and benefits of fixed cost restructuring and cost improvement initiatives undertaken earlier in the year. We experienced higher product costs from raw materials and labor in line with our expectations. Fiscal ‘23 was a challenging year for the H&G business, mainly due to the retailer inventory strategy, which led to a disappointing top-line performance. Despite these headwinds, we were able to focus on margin performance and are pleased with the margin improvement in the fourth quarter. We believe that the fundamentals of the consumer market remain strong and that the H&G business is set up well for success in the future. As we look forward to fiscal ‘24, we expect our retailers to build inventory later in the season, which will pressure our first quarter and possibly second quarter sales, that we are confident that we have the right manufacturing strategy to support that later inventory build. We are working closely with our retail partners to understand consumer demand expectations and how it translates into our production and shipment plans. Now finally, home and personal care, which is on slide 16. Reported net sales decreased 6.3%, excluding the favorable foreign exchange impact of $4.8 million, organic net sales decreased 7.7%. The organic net sales decrease was driven by category decline from lower consumer demand, mainly in kitchen appliances. Although the majority of the retailer inventory reductions are behind us, there continues to be excess retail inventory for air fryers in the U.S. market, but significant decline in consumer demand from pandemic highs. Overall, kitchen appliance sales experienced double-digit declines in the quarter, but were partially offset by growth in personal care and double-digit growth in garment care. North American sales grew in personal care, garment care, and kitchen appliance categories with the exception of PowerXL, which is significantly impacted by lower air fryer sales. Sales in EMEA, APAC, and Latin America were all up double-digits with strong e-commerce growth and expansion of the PowerXL brand internationally. Adjusted EBITDA decreased 27.5% to $20.3 million, due to volume declines from kitchen appliances and the unfavorable impact of transaction FX. This was partially offset by lower ocean freight rates and savings from various cost improvement initiatives, including the fixed cost restructuring we undertook over the past two years. The overall macroeconomic environment remains challenging, but our efforts to fix the profitability of the business are showing results. In fact, the gross profit margin for the business increased 600 basis points from the first-half to the second-half of the fiscal year. Earlier this week, we delivered our first ever global Remington launch to support our innovative Remington 1 collection of multipurpose styling tools that deliver both convenience and performance. The range includes a two-in-one flat iron and curler, a multi-style dryer, and a shave and groom multi-tool. The brand generated significant reach and engagement via exposure on the ABC SuperSign on Times Square, a radio and social media campaign, a fleet of branded taxis in New York City, and culminated in a launch event hosted by iHeartRadio and Z100 Talent, where we welcomed retail partners, celebrities, influencers, and media. As we look forward to fiscal ‘24, we expect softer consumer demand, particularly in the air fryer and toaster oven categories, to continue and expect a continued challenging competitive environment in North America. We have also exited certain Tristar SKUs in fiscal ‘23 after assessing, among other things, performance and quality standards and the business risk associated with the continued support and distribution of these SKUs. Due to the difficult consumer environment and the exit of multiple products, we expect HPC sales to be down in fiscal ‘24, particularly in the first-half of the year. However, despite the topline challenges, we expect continued improvement in profitability as we benefited from various cost improvement initiatives and comparison to prior year higher cost inventory. Turning to slide 17 and our expectations for 2024. We expect net sales to decline low-single-digits, driven by HPC with foreign exchange expected to have a negative impact based on current rates. Adjusted EBITDA excluding investment income is expected to grow in the high-single-digits, driven primarily from lower cost inventory, as compared to fiscal ‘23 offset by our investments in brands and people. As mentioned earlier, we expect the cost environment to continue to ease mainly from lower ocean freight, while other input inflation remains relatively mild. We also expect some pricing pressure in the home and personal care space as the competition for shelf space is expected to remain fierce. From a phasing perspective, we expect the impact of demand pressure in the home and personal care segment to be more pronounced in the first-half, and particularly in the first quarter of fiscal ‘24. Our home center customers for the Home & Garden business are also expected to wait until spring to take on inventory in preparation for the summer season. These factors, along with the product portfolio rationalization impact in the global pet care business will pressure top line comparisons to last year in the first-half. Turning to slide 18. Depreciation and amortization is expected to be between $115 million and $125 million, including stock-based compensation of approximately $15 million to $20 million. Cash payments towards restructuring, optimization and strategic transaction costs are expected to be approximately $40 million, down from $85 million in fiscal ‘23. Capital expenditures are expected to be between $75 million and $85 million. Cash taxes are expected to be between $45 million and $55 million. And for adjusted EPS, we're using a tax rate of 25%, including state taxes. As a reminder, we are projecting to be a U.S. taxpayer in fiscal '24. To end my section, I want to echo David's opening comments and thank all the members of our global team for their strong efforts during some very challenging times for Spectrum Brands during fiscal ‘23. I am confident that we have the right actions in place to make fiscal '24 a successful year for us. Before I turn the call back to David, I would like to let our investment community know that we are transitioning our Investor Relations responsibilities from Faisal to Joanne Chomiak, our Senior Vice President of Tax and Treasury. Faisal has been doing IR for the last two years and we've all enjoyed getting to know him. He's done a great job. And Joanne is going to do the same for us. It's a great opportunity for our finance leaders to meet our investment community, as well as you guys get to see the talent that we have in our company. So thanks to both of them. So this quarter on your calls over the next week, Faisal will lead and Joanne will be shadowing. And next quarter, we will reverse. Faisal will not go anywhere. He's going to get back to a day job of strategic reporting, enterprise finance and supporting our Global Pet Care business. Over to you, David.
David Maura: Thank you, Jeremy, and everyone, thanks for joining us again. At this point, let's take a couple of minutes and just recap some of the key takeaways. I think you'll find that on slide 20. First, our fourth quarter financial results conclude a very challenging fiscal '23. We saw sales pressure from continued declining consumer demand for goods and expanding inventory -- customer inventory actions, which drove significant top line pressure for us. However, we proactively took swift action to reduce costs and implemented strict spending controls to get through the leaner times. We believe with our balance sheet now strengthened and our margin profile improved, we're beginning to turn a corner. Secondly, our business is well positioned, and the time is right to start investing back in the business to fire up our growth engine. We are focused on bolstering our commercial operations, innovation, sales and marketing capabilities, and we're leaning into investing in our people and upgrading our talent. We also remain focused on launching fewer, bigger, better initiatives and truly fueling them by investing resources behind the initiatives for successful commercialization. Third, we're investing in our operations, driving efficiencies and reducing costs. We will invest in our facilities and our supply chain capabilities to lower our product cost to remain competitive in today's marketplace. Lastly, we expect low single-digit net sales decline for fiscal '24, However, we do expect adjusted EBITDA to grow in the high-single-digits during the year without considering the impact of our investment income. We expect fiscal ‘24 to continue to be in a challenging environment, we believe we've got the right strategies to succeed in the times ahead. Although we've had a tough couple of years, I believe we're very well positioned to improve our operating performance in fiscal ‘24. Fiscal ‘23 was all about repelling our legal challenges and recapitalizing our balance sheet. Today, we are now reinvesting in our people and our brands with the goal of rebuilding our P&L. We are optimistic that fiscal ‘24 will show returns on these investments, and we believe our operating performance should accelerate into fiscal ‘25. I remain very optimistic about the future of our company. I believe we are well positioned to execute on our operational goals, deliver improved business performance and deliver significant value to all of our stakeholders. We can now go back to Faisal for questions.
Faisal Qadir: Thank you, David. Operator, we can go to the questions queue now.
Operator: Thank you. [Operator Instructions] And our first question is going to come from the line of Nik Modi with RBC. Your line is open. Please go ahead.
Nik Modi: Thank you. Good morning, everyone.
David Maura: Hi, Nik.
Nik Modi: Hey, good morning. So, Dave, I was wondering if you usually have a pretty good handle on the big picture in the macro. So just wanted to get your state of the union on the shape of how you think things will evolve in 2024? I know there's a lot of moving pieces and it's very uncertain, but would just love your take today? And then just a little bit more granular. Can you just give us any context on the discontinued products and how much that has impacted the business and how we should think about that at least through the first-half of the year? And if I have it right, I do believe a retail customer exited the aquatics business during 2023. Do I have that right? And when will we lap that in 2024? Thanks.
David Maura: Yes. So I'll go in reverse. I think there was some discussion about a retail customer exiting aquatics, I think that went slower than planned. I think they stayed in the business longer than planned. I'll let Jeremy and Faisal correct me if I'm wrong on any of that. And then one piece you had in there is, yes, we're discontinuing a bunch of SKUs. Look, ‘23, we dealt with a numerous amount of operational challenges and I really wanted to get into ‘24 in a very healthy manner. And so I pressured all business units to really kind of clean themselves up if we had certain margin thresholds weren't being made, if certain inventory turns weren't being achieved, we want to exit those things. And again, I'll let the team tell me if I get anything wrong, we exited, I think, 1,000 SKUs in Pet. And there's a tail piece of that that's bleeding into Q1 of this year. But it's part and parcel with just wanting to put the sins of the past behind us. Inventory was super heavy at retail, and we suffered with that. And I don't want to bring any of that stuff into fiscal ‘24 with us. And then we made significant new hires in our working capital S&OP processes just over a year ago, and we've been very deliberate on making sure that the inventory we carry is A and B stuff that moves fast, it's got good margins, and it's got good vitality, and we're going to continue to improve the quality of our inventory as we go through '24. In terms of macroeconomic stuff, I'm definitely not an economist. I appreciate your confidence in me, but I've been dead wrong, Nik. I really thought that the Fed's actions would have resulted in a much slower economy by now. Mortgage rates, the cost of mortgages being 2.5%, 3% and getting up to 8% as we exited the summer into the fall here in the U.S., I really thought that would put the breaks on things and we've had an amazingly resilient consumer here in the U.S. and our businesses have continued to do well in Europe as well. So look, maybe now at the time when things cool off. I certainly -- my personal view is that there won't be as many American tours in making those next summer as there were in the summer of '23. And I think some of that experience in travel expenditure will come off. And hopefully, that will benefit us. Quite frankly, this company has got a history of making really great products at a great value. We're definitely trying to get back to our roots in hot shot in a number of areas where we're investing heavily in productivity to make sure those unit costs are down. And so we want to be the optically obvious value choice for consumers as we get into spring and next year and hopefully, people are in and around the home a little bit more in calendar ‘24 than they were in ‘23 and maybe that benefits us. But I definitely see a weakening of the consumer market. And I think it's just prudent to plan on that continuing to get a little bit worse as we look out over the next 12 months.
Jeremy Smeltser: Yes. And I'd just add, Nick, to get granular on the modeling question, consistent with Q3, GPC skew rationalization is kind of circa $10 million per quarter hit to the top line in Q4 should continue in the first half of '24 at about that level and then it will wind down. And HPC probably in Q1 and Q2 is about a similar level. That's the headwind in the first half.
Nik Modi: Excellent, thank you so much guys.
Jeremy Smeltser: Yes, thank you.
David Maura: Thank you, Nik.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Bob Labick with CJS Securities. Your line is open. Please go ahead.
Bob Labick: Good morning. Thanks for taking our questions.
Jeremy Smeltser: Good morning, Bob.
Bob Labick: So I wanted to start, obviously, you got through a difficult fiscal '23 as you described in this year, fiscal '24 is poised to rebound investment in brands and people, et cetera. Can you give us a sense of how much was the investment in brands in fiscal '23? And what's the expected investment to be in fiscal '24. How do we view the difference in the increase in investment?
Jeremy Smeltser: Yes. I mean we're not going to give absolute dollars as it's kind of a rapid hole, you go down by business and by brand. But I would tell you that in depending how the year turns out on the top line and from an external perspective, we will probably spend between $40 million and $50 million more on brand investments between advertising, marketing, R&D and some incremental IT investments in those areas.
Bob Labick: Okay. Great. And then so how do you determine the right amount to spend? Is fiscal '24 right? Or is fiscal '25 going to be higher? And what's the form of investment that is higher this year and the expected ROI on that?
David Maura: Look, Bob, I think -- let me hit a couple of just broad points. I mean, it's a very recent history, right? But we only closed the deal and got liquid in June of this year. And running the business a year ago, leverage was 6 times, 6.5 times, running a business for cash. We took a lot of fixed cost out of the company. Two of the three remaining businesses, we've replaced the entire leadership team. I mean, brand-new leaders. We've got a new salesperson that just started in Home & Garden. We recently just hired a new marketing person there. I just put a North American lead into the appliance business. I got a brand-new president there that's taken over from Europe. I mean you're talking about a business that just didn't get a lot of capital to it because of the leverage situation and the pressure from the DOJ challenging the sale of HHI. And it's a brand-new day. We've got $1.8 billion in the checking account and we think the markets are going to deteriorate. We want to go play offense. And I just think that's the best way to get after it is to jump start this thing with some real investments in people, talent, brands, and we want to make a lot of noise and bring the consumers really great product here and create a base of earnings that is sustainable and growable into the future. So look, I think we're putting a lot of money in marketing. There's a lot of money going into e-com, doing a lot of real-time testing, test and learn, we call it, on the dot-com partners, and it's all the way from Chewy Amazon, walmart.com, you name it. And we really want to drive the business to a much healthier level and then be able to compound from there as we get healthy. I would say we're going to get healthy in ‘24, and then we're going to try to accelerate that in ‘25 with what we're doing here with these investments today.
Bob Labick: Okay, super. I'll jump back into you. Thank you.
Jeremy Smeltser: Thanks, Bob.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Brian McNamara with Canaccord Genuity. Your line is open. Please go ahead.
Brian McNamara: Good morning, guys. Thanks for taking our questions. Thanks, my first question is regarding the HPC business. There's a large player in the space that recently went public and appears to be the exception of the rule in terms of growing the top line in this tough market. With your outlook for increased pressure in 2024, particularly in kitchen appliances, I guess, what is this competitor doing differently that the rest of the industry appears to be struggling with?
David Maura: Yes. I think that particular entity has been particularly good at innovating, but then spending very large amounts of money advertising. 50, 100 --, hundreds of millions of dollars. And we clearly don't have that size or scale. But that was kind of the thesis behind what we're trying to do with DRTV and DTC with the studio we got through TriStar and that's part of what we're trying to do here with fewer, bigger, better bets. And it's part of what we're trying to do here with the new Remington launch that we just did here in New York City on Monday. So it's get product, it's driven by consumer insight and it's -- test that product, try to make it a fatter pitch and then put real money behind it. And that's definitely a strategy that has worked for them, and we're going to try that playbook where we think it can work for us.
Brian McNamara: Great. That's helpful. And then secondly, what are your capital allocation priorities this year, particularly share buybacks as you move towards your target net leverage ratio of 2x to 2.5x.
David Maura: Yes. We're in the middle of completing a $500 million repurchase program now, and that will wrap up soon. And we're going to get off this call and see where the world is next week. But I think if we can continue to shrink our float and grow our earnings, I think good things tend to happen, if you can do that consistently. So -- we've obviously got some bonds outstanding, and there's an obligation there. June, July next year if we don't do an acquisition. But I think we really want to invest in our organic businesses. And never say never. If there's some tuck-in out there that is a slam dunk for Pet and Home & Garden, we probably look at it. But right now, I just want to continue to buy in shares that I think are undervalued. And get our earnings stream growing.
Brian McNamara: Great. Thanks a lot. Best of luck, guys.
David Maura: Thank you.
Operator: Thank you. And one moment as we move on to our next question. Our next question is going to come from the line of Chris Carey with Wells Fargo Securities. Your line is open. Please go ahead.
Chris Carey: Hi, everyone, thanks for the question. Can I start on Garden, please. So the outlook for retailers to build inventories later in the season with pressure in Q1 and that continuing into Q2, is that based on -- you've had these conversations with the retailers by this point, being so late in the calendar year. And there's a lot of visibility into that comment. Or is that a level of conservatism given what's happened in the category this year, uncertainty on weather and these sorts of things. I'm trying to balance the two?
Jeremy Smeltser: Yes. I think it's a little bit of both, Chris. I think, obviously, we're coming off of two tough seasons, particularly this last year, where I think our retailer customers behave differently than we expected. So I do think our connectivity and understanding of their strategies is much better than it was a year ago. I think their strategies, frankly, have stabilized. I think their strategy has changed a lot as the year progressed last year. So it's a bit of knowledge from them. They understand that we have limited manufacturing for a business that's so seasonal. So they have to be very communicative to us to make sure that they have the product, when the consumer arrives. So it has to be a really tight partnership. But I also think it does make sense to start the year conservatively given the past couple of years. That said, we're really encouraged by Q4, where a stronger POS than both we and the retailers expected, because of a late one season continued to season longer and because of those lower inventory levels that they have now, we immediately saw replenishment orders and really kind of outperformed where we thought we would be in Q4. So I think that's a good sign that our strategy is right as we head into 2024.
Chris Carey: It's just given two years of organic sales growth decline, one would think inventories are much cleaner by this point, and specifically a POS was better, so is this excess inventories going into next year or retailers managing a tighter inventory load than what they've typically done?
Jeremy Smeltser: Yes. Honestly -- no, I think that's a possible outcome. I think it could be much better if we have a strong season. But again, I do think it makes sense to start the year, thinking about it prudently and recognizing that business has changed a bit over the past couple of years, like it changed a bit during the couple of years of the pandemic and being cautious on the forecast to David's earlier point, making sure that we're putting out numbers that we know we can we can achieve and we can satisfy our shareholders. I think that is the right thing to do as we start fiscal '24.
Chris Carey: Okay. That makes sense. Just one last one, then I'll hop back in. The outlook for sales this year, can you just maybe give some context on your expectations for pricing, relative volume, I would imagine volume down, but given you don't disclose that line item? Maybe any additional context there would be helpful.
Jeremy Smeltser: Yes. I think as you look at pricing for ‘24 kind of across the businesses and regions, I actually think that we're going to be relatively flat. I think there's going to be some areas where the competitive situation will require us to give some price. And I think there's going to be some strategic areas in revenue growth management, where we can take a little bit of price. But net-net, I think it's going to be a neutral year. So we're really looking predominantly at volume for the low single-digit sales decline that we're calling. And again, predominantly coming from the HPC business.
Chris Carey: Okay, thank you both.
Jeremy Smeltser: Thank you.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Peter Grom with UBS. Your line is open. Please go ahead.
Peter Grom: Thanks, operator, and good morning, everyone. So maybe just to start, David, and Jeremy, how would you characterize the degree of conservatism intended in the outlook? And then Jeremy, just a lot of commentary to suggest that despite confidence in the full-year, it's going to be a tough first-half, retail ordering patterns in agent duty, tough start in GPC, weaker one half and HPC, can you maybe put a finer point in terms of how we should think about the phasing from an EBITDA perspective? And I guess just building on that, what drives the confidence that the second-half will show improvement following what seems to be a pretty tough first-half year? Thanks.
Jeremy Smeltser: Yes. I mean, I think first, we start with where do we see our markets in Q4. The quarter we just came off of. What are we hearing from consumers? What are we hearing from our retail customers. And I think essentially, we have baked that environment into what we think for '24, probably with an additional level of conservatism based on an expectation that we have. As David said earlier, that economic conditions globally, but particularly in the U.S. will likely get a little bit worse than they've been in the last couple of quarters in fiscal '24. So we take all those things into account. That's really how we built our forecast. I think our comments around the first-half are very specific to situational issues, not necessarily macro issues in our specific categories and businesses that we just want to point out that will impact how the first half plays versus the second half. But as you look to this year, what we don't have is some step function change quarter-to-quarter in expectations for consumer demand and/or margins. We expect it to be more steady than what we've experienced the last couple of years. And we don't have the significant roller coaster ride of inflation going up and deflation going down to worry about. So I think it's a year of stability, as David talked about earlier, a year to start investing back into the brands in a material way sequentially from what we've done in the last two years, which has been quite low. I think it will be a great year for us to deliver EBITDA growth in all three businesses to do that, to track the return on those investments well and to springboard hopefully into a better economic situation in '25.
Peter Grom: Thanks so much. I'll pass it on.
Jeremy Smeltser: Thanks, Peter.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Ian Zaffino with Oppenheimer. Your line is open. Please go ahead.
Ian Zaffino: Hi, [Indiscernible]. Thank you very much.
David Maura: Hi, Ian.
Ian Zaffino: How are you guys?
David Maura: Ian, I'm good. How are you doing? Happy Friday.
Ian Zaffino: Yes. You too, you too. I wanted to ask you on HPC. How are you thinking about a potential separation of that business. I know you had talked about in the past, obviously, [indiscernible] have kind of changed a little bit there. What do you need to maybe get a separation back on track. And then just as far as I guess, fundamentals, but any M&A in that area as well? Because I know you talked a little bit about M&A, but you didn't mention HPC, so I wanted to kind of see how you're squaring that? Thanks.
David Maura: Yes. Look, we continue to want to stand that up and build a separate appliance business. But right now, we're trying to get it back to health. And I think we're making some improvements there. We're just out a 600 basis point expansion in the profitability of it in the back half versus the first-half. And we got a lot of work to do there. We just relaunched Remington globally. We've got some new talent in that business that I'm optimistic about. And I think the -- while I think competition remains fierce, I think there's going to be some rationalization too, we've seen a bankruptcy in the space. I think that retailers are going to want what we're preparing to give them, which is fewer, bigger, better innovations. We typically have brands that have good value price points as I think people are going to watch their spending on durable goods, they'll be tighter with that spending, they'll probably look for value price point product. And so I think if we can put a couple of quarters of better operating momentum together, and I think that improves our odds of accomplishing our goals. I've not been shy about expressing my view that I do like the idea of a combination. It's synergistic and bring scale and allows us to get additional upside to shareholders. We've certainly been down that road in the past, however, unsuccessfully. And we'll just have to see how that plays out. But I think as current owners of the business, it behooves us to get that thing in a better financial state and get some real earnings growth and operating momentum under it and then the options available to us should improve.
Ian Zaffino: Okay. And then I don't mean to put you on the spot here. But when you think about earnings potential of that business, I think you threw out something along the lines of like $120 million or something along those lines. Is that how you still feel about that business? Has anything changed there? Just kind of given the environment, what you've seen recently?
David Maura: Yes, look, let me hit a head on. Look, you all put me on the spot at all. Look, our Pet business is run rating over $200 million in EBITDA now, right? You saw a $53 print in the quarter. Home & Garden had a very good quarter. We just reported. But we haven't seen a great Home & Garden selling season going on to two years. So we don't want to get over our skis on that. Let's see how March and April plays out. One of the earlier questions there. We had a big retailer, dedicate a lot of space to electronic battery-operated landscape equipment. I'm not sure that went awesome, but maybe we get some space back there. So let's just see how that goes, but I think we can rebuild the earnings power of Home & Garden. Your specific question around appliances look, we got a $1.2 billion business. And this business used to be able to do high single digit, low double-digit EBITDA margins. It's just I believe you're seeing so much distortion in that industry because you had this giant demand caused by COVID. And because the retailer couldn't get enough product from us or anybody else, they bought from anybody. And so I think you had a lot of fly by night guys get involved in the business. Hawking product from China at little to no margins with tons of recalls and it's really damaged the economics of the space. But as that rationalizes and people go bankrupt and consolidation happens and retailers understand, hey, guys like us are in it to win it. We're here to stick around and be here for the long term. we gained back margin structure. And I think if we can, through better talent and global marketing operations, like we just demonstrated with Remington on launch in New York, we can start to rebuild that margin structure. Clearly, a 10% margin on $1.2 billion of revenue, it's -- that's the number you just quoted. So I don't think we're going to get there in '24. But I think we can lay the foundation for it in '24 and maybe set up to it in '25, '26, yes.
Ian Zaffino: All right, great. Thank you very much.
Jeremy Smeltser: Thanks, Ian.
Operator: Thank you. And one moment as we move on to our next question. Our next question comes from the line of Olivia Tong with Raymond James. Your line is open, please go ahead.
Olivia Tong: Great, thank you. First question is just in terms of marketing spend and whether you could talk about sort of short- and long-term goals. Obviously, the capacity has been more nowadays. If you intend to be above the category to gain some lost ground a little quicker? Or is sort of more in line and build? Just want to understand your thought process on reinvesting back in the business first and foremost? Thank you.
Jeremy Smeltser: Yes. I mean, obviously, we've spent under the average category for where we play over the past few years. I think the strategy is a little bit different by business and even within the business sometimes by brand. We have some premium brands in our global pet care business that play at the high-end of the price points in their various subcategories. But that's the type of business where you're not doing the traditional advertising that costs as much as what you do in some other CPG categories. So the spend is relatively modest, but it has led us to be successful in growing at or above category for a number of years. I think when you look at the Home & Garden business, it's a bit of a different story. We have a value proposition play as part of our brand strategy. So we don't want to spend at 0, but you're not going to see us spend at 4% of sales. That just doesn't make sense for what we do and who we're trying to be for our consumers. And in HPC, we have brands really across the price points, but the reality is we have a fairly significant amount of revenue at opening the mid-price point with the brands that we have. And so again, while we want to invest more than we did in '22 and '23, and we intend to, actually, we've already started, again, we don't need to be at 3% or 4% of sales. I think -- 1.5%, 2% of sales, I think even coming out of our business units. I think they would tell you that sufficient blended for what we're trying to be brand by brand within our businesses.
Olivia Tong: Got it. And then just in terms of thinking about profitability by division, if you compare this year's EBITDA margin to pre-covid levels by segment. We're still quite a bit below, particularly on HPC and Home & Garden. But Pet's actually not that different. So as you think about rebuilding that EBITDA, can you talk about the divisions, where do you see sort of greater progression early on versus those that will take a little bit longer to neutralize.
Jeremy Smeltser: Sure. Yes. I mean I think David just hit it in the last question on HPC, right? Where we've gotten down into this lower single-digit level, and we'd like to be back in the high single-digit, low double-digit level. over the coming couple of years. And I think that's probably all the level of margin that the combination of those categories and our brands and where we play will allow I think you're spot on, on Global Pet Care, Olivia, I think that's really directionally the right margin level and the key focus is on actually growing the top line and dropping it down to the bottom line and continuing to invest in the brands and new products. And then in Home & Garden, look structurally, I don't think there's anything different inside our business other than the fact that we have had to absorb the inflation that we have, like everybody else has and had the price for it and the impact it's having on our consumers. But the last two years, overall production and our sales to our retail customers is lower than we think a normal season will be. And that naturally will leverage up. And Q4 is a great example of that. As I talked about earlier, Q4 came in stronger because of the late good weather for our particular categories and both our net sales and our margins over delivered expectations in the quarter. So I think that's what we'd like to see as we get to a more normalized season whenever that might happen.
Olivia Tong: Got it. And then just last question around uses of cash and share repurchase. Obviously, nice to see the move there. But as we think about sort of continuing to deploy the cash why shouldn't we expect you to continue to buy back shares if presumably right now, you're still looking to put cash to work, your focus right now. It certainly seems to be more internally than looking to add assets, so just if you could talk a little bit about share repurchase and thoughts about cash allocation, that would be great.
David Maura: Yes. Look, I think we did a study. We returned about $3 billion of cash to shareholders in the last 5 years. We've just returned $5 billion -- $500 million, almost wrapping that up we've got a dividend out there. So returning a lot of cash to shareholders this calendar year, we continue to think we're materially undervalued. And so you can probably expect us to continue to buy shares, but we've got to finish this current $500 million ASR, and we'll update you when that's done.
Olivia Tong: Got it. Thank you.
David Maura: Thanks, Olivia.
Operator: Thank you. And this does conclude today's question-and-answer session. And I would like to turn the conference back over to Faisal Qadir for any further remarks.
Faisal Qadir: Thank you. With that, we have reached the top of the hour, so we will conclude our conference call. Thank you to David and Jeremy. And on behalf of Spectrum Brands, thank you all for your participation.
Operator: This concludes today's conference call. Thank you for participating.